Operator:
, : Let me begin by presenting an overview -- a corporate overview of our first half year performance. I begin by saying that we have stepped up this year our activities and our investments in Kurdistan which has been obviously a critical core area for the Company for some time and where we have stated always there are opportunities to be continuously lookout and capture. And we have stepped up our efforts to do so this year on the back of strong exports payments for Tawke production and more recently the Peshkabir field production. The back of these payments, we’ve had strong results for the first half of the year and have translated the financial performance to increase the drilling activity. In 2017, we have been drilling and we’ve drilled additionally a total of 15 wells in Kurdistan. This is more than all the other international oil companies combined in Kurdistan, so we remain a very, very active driller and producer in Kurdistan. Our operated production across the portfolio in the Company in the first half of the year was 114,000 barrels a day oil equivalent which was up about 4% from the same period in 2016, the first half of 2016. We generated $230 million in cash from operations in the first half of 2017 which was up nearly six times the figure in first half of 2016. Free cash flow was $157 million in the first half of the year up from $36 million in H1 2016, so 2017 the first six months have represented a substantial turnaround and increase in revenues and cash from operations and free cash flow as well. As a result, we’ve strengthened our balance sheet, exiting the first half of the year H1 with a cash balance of $381 million which was about a $120 million higher than the figure when we exited 2016. And in addition to the cash balance, we also have $43 million in treasury shares and marketable securities. Our net debt is down to $19 million at the end of the first half of 2017 and again on the back of these great improvements, we have increased our planned CapEx guidance for 2017 to $130 million which is up from about close just under $100 million from the full year 2016. So a lot of increased activity generated by the financial firepower that the Company has following the regularization and frequency of payments for exports from Kurdistan. In terms of operational highlights, as I mentioned we have a corporate-wide operation, operated production of 114,000 barrels a day oil equivalent with Kurdistan representing almost, most of it at a 109,700 barrels of oil per day and Oman the balanced 4,300 barrels of oil a day equivalent. Our company working interest production from that total was just over 70,000 barrels a day in the first half of 2017. In Oman, the Block 8, our ultra Block 8, we drilled West Bukha-5B well to a depth of 4,500 meters and while we tested oil in this well, the well would now flow naturally. It was shut-in and we have artificial lift studies underway, but this involved impairment on the well. Haakon will discuss that in his portion of the reports. Also, offshore Oman, we have been making investments at the Bukha gas and liquids field where we replaced an umbilical system and plan to have production reinstatement shortly and hopefully sometime in the next hours, if not next days. Other activity besides the Tawke and Peshkabir in Kurdistan in our Erbil heavy oil block, we will begin drilling in the fall in October the Hawler-1A well, and we’re looking forward to better appraising that heavy oilfield to see whether in haul and how quickly and on what basis we can commercialize what is a substantial resource base in Kurdistan in addition to our Tawke license. In Tunisia, we’re planning an exploration well offshore sometime during the first half of 2018. In terms of financial results and highlights, as I mentioned we’ve had strong payments for exports in Kurdistan totaling in the first half of the year just over $180 million net to DNO of which $32 million has been towards past receivables. In the first half of the year 2017 H1, our revenues were $158 million, up 43% from H1 2016. We lowered the Tawke booked receivables to $58 million at the end of the year, as we discussed before a portion of our Tawke production and sales we have booked, and we’ve been working down receivable to large balance of it. We have not booked in the past onto that point the receivable question and matter shortly. We resumed our share buyback program in March 2017, and at the end of the first half of the year and distributors occurrence, our treasury shareholding was 32.6 million shares, which is about 3% of the shares outstanding of the Company are now in our own hands as treasury shares. The average acquisitions cost of all the treasury shares currently in our hands is $07.03 per share. On the question of receivables, this we just -- this morning as the meeting was starting put out a stock exchange notice in which we reported a landmark agreement with the Kazakhstan regional government involving the resolution of the receivable, the un-booked receivables in which as part of this agreement, DNO has been allocated given the government’s 20% stake in the Tawke license. As part of the settlement of the outstanding receivables involving the prior higher proved deliveries as a result of which our interest, our working interest in the Tawke license clients from 55% for Tawke to 75% effective August 1, 2017. Again this is forward the settlement of the receivables of higher exports. In addition to the increased 20% stake in the Tawke license, DNO will receive over five year period a 3% of gross license revenues each month from the government, again towards settlement of the receivable. And again all of these transactions and exchanges and settlements are effective August 1st. As part of the settlement, the government has agreed that it has exercised its audit rights on the license to a satisfaction prior to August 1st, and has no adjustment claims against the license operator or partnership. So, we’ve been discharged from any liabilities and the claims with respect to the audit of operations since inception to through the end of July. But the government is also discharged DNO from certain payment obligations including production bonuses and other license fees, but perhaps most importantly from investments towards a $150 million water purification project which was an obligation of the Company, but which the government has now determine that it no longer has a need for the water purification project, so we have been released from that obligation as well and Haakon can speak to the balance sheet implication of removal of these obligations. Removal of these liabilities or obligations, the transfer of the 20% interest in Tawke to DNO and the rights to the 3% revenue stream and the other, some of the other settlement features will of course bolster DNO’s balance sheet significantly, as well as our future cash flows. So we’re very pleased with the outcome. We are pleased that this matter has now been put to behind us. That’s an issue that has been discussed in prior quarterly presentations with our investors and the analyst community. We’ve indicated that we start of the process a couple of years ago of going through an area audit and reconciliation of the receivable amounts. And that once those announced were agree with the government, we would come up with them with a settlement agreement that work to satisfaction of both parties, and I’m pleased to say that and announced today that process has been concluded and we are now even larger presence in the Kurdistan oil industry. And we are pleased to be in that up position and we are under discussions about payment arrangement so long. We are very confident that we will be a larger, more active and more successful player in Kurdistan especially what even as we continue to high-grade our portfolio in other areas. At Tawke area, we reached an import milestone of 200 million barrels produced cumulatively since inception in May. This is obviously a very, very large figure 200 million barrels produced, but it’s also indicative of the size of the Tawke field. And it’s important not just to DNO and our partner on the line, but importantly to the Kurdistan region of Iraq. We currently have three drilling rigs active in Kurdistan two of which are Tawke and one at Peshkabir. Our Tawke driven program in 2017 includes 10 production wells of which six are deep Cretaceous wells and four our shallow Jeribe wells. For those of you who follow our operations you know that the Tawke field reproduced from both of these reservoirs. The new Tawke wells some of them have appraisable features, other are production, development production wells. But together, it helps us stabilize our production at about 110,000 barrels a day during the first half of 2017. We have more routinely workovers and facilities operate that go on in terms of investments of the field on an ongoing basis. An update on Peshkabir, which is very exciting additional field discovery we have made on the Tawke block. The Peshkabir-2 well which was a well we have drilled earlier this year has been looked and put all production, with the production truck to Peshkabir and put into the export line. That well continues to produce at a very steady rate of 4,700 barrels of oil per day of 28 degree API crude and has been doing so since it was on production in June. The well is producing with zero water cut. The gas oil ratio is stable and flowing wellhead pressure is essentially stable decreasing only about 6 psi since the start up. These are all indications that this well is connected to or could and likely is a sizable resource, although we need to do further drilling and testing and appraisal to determine the volume of that resource. The Peshkabir-2 well is also capable of producing an additional 2,500 barrels of oil a day, up slightly heavier oil from the lower Jurassic reservoir. We currently are drilling the Peshkabir-3 appraisal on production well, that well is drilling now, drilling ahead, drilled out to about 2,400 meters depth of the target depth of 4,000 meters, and it is designed to test the northern extension of the Cretaceous reservoir which will give us more information as to the Peshkabir field. We have acquired an early production facility, a unit and we have plans to install it at Peshkabir this fall and hopefully have it available and on stream towards the end of the year. And that again we’re doing all the listing in the very early record time and we’re very excited about Peshkabir and excited to get its production into the production and export stream all the Tawke license. We hope that these two wells again once the EPF is installed, our production by year-end are very, very early next year and we plan two additional wells on the Peshkabir field in 2018. So, compare to accelerated and have ambitious program it’s that’s one that DNO has been tested on before with the developer Tawke and we have I think performed well. The quick update on our North Sea investments and ambitions, as you know we now hold the stakes in 11 exploration and appraisal licenses which seven are on the Norwegian Continental Shelf and four on the UK Continental Shelf. We are actively pursuing additional stakes on the NCS including acquisition of producing assets. Norway is an important part of our growth ambitions. We will participate in the two upcoming licensing rounds in the second half of this year and our goal is to become among the most active explorers on the Norwegian Continental Shelf targeting participation in around five exploration wells per year. The reserve prospects on the UK Continental Shelf which DNO now has a 22.5% working interest is expected to be slide by the end of the year and add a cost of around $12 million net to DNO. This slide shows it’s an updated Kurdistan driven schedule. I won’t go through all of the wells, but again you can see that we have an active drilling program in Kurdistan, which is focus of this line, but also increasingly across the rest of the portfolio. So after a difficult period in the world oil market which affected all companies and affected DNO, which we scaled back our spending and our activities, we’re now back and we’re back stronger company and with a great ambition and with a portfolio that we think still has significant opportunities that we hope to be able to tackle and tap and extract for the benefits of our investors.
Haakon Sandborg: Okay. Good morning, everyone. We are certainly pleased to confirm further increment in our financial performance through the first half of this year. As you have seen today we’re still now increasing revenues and we have a solid cash flow and we’re backed by stronger oil price that kept our production high and stable, and we also see then high payment regularity now in Kurdistan. So, on this basis, we are now stepped up our investment program and I am even more pleased to note that we’re back now to covering all CapEx and costs from our operational cash flow. At the same time, we’re still continuing to build the cash position. As you heard now in terms of other developments, we’re quite excited about the new Peshkabir discovery in Kurdistan and our entry into the Norwegian Continental Shelf. And we think that now with the very important announcement this morning of the settlement of the Kurdistan receivables including now the increased interest in the Tawke PSC, we think this is also very important step forward for us. So I think through this progress we’re now overall in a very good position to increase investments further and to accelerate new growth for the Company. Okay. As we can see on this slide that we have now strong increase in our quarterly revenues in Q1 and Q2 this year increasing to $82 million in the second quarter. And on the year-to-date basis through the first half of this year, the revenues are up by 43% compared to last year. The main factors here are the Brent oil price have increased by 30% on average in this period and as a 4% increase in our gross production that was at a 51% increase in entitlement payment to the announcement from the KRG in this period compared to last year. So building on the both higher revenues and we have kept our stable -- kept our operational cost stable, you see that the quarterly net back cash flow reached $55 million in both of quarter one and quarter two. So, on the year-to-date basis, our net back has more than doubles and that’s compared to the first half of last year. Now the second quarter operating profit that is here on this slide was already reduced by the $37 million impairments we took for Block 8 in a month on the West Bukha-5 well. But, if you adjust for the Block 8 impairment that we took in these two quarters, the year-to-date operating profit through the second quarter what’s still solid at $74 million. And if you use that adjusted number three impairment in a month, you will see that the operating profit is very much in line with the analyst expectations. You have received now fairly study monthly exports from the KRG since early 2016 knowing that there was some delays last year, but it’s been much better now than previous years, so maybe and also important just now, but just to give us some background again that we have export payments split between entitlement revenue and the payments towards the receivables. And the receivable payments cannot be applied to reduce the booked receivables and such that not been shown in revenue. So for the first half of this year, we have received the $181 million in export payments and of that 32 million was towards the receivables and thereby not include in our reported revenues, so up until the big announcement this morning, we have seen that the export payments have continued study through Q3. And that the total receivables settlement agreement that Bijan discuss, we will now dictate for these two outstanding monthly export payments for the months of June and July. And from the effective base of the 1st of August, we expect that we now into this new agreement. We’ll generate significantly higher monthly export revenues going forward. And that’s on payment of this on the export deliveries, but on the payment, we will recognize all of it’s as revenue. So with once that fixed between any of receivable payments just everything goes into revenue. So we have a major effective. Here as usual, we have a detailed look at our P&L status, see clearly the increase in revenues that I have discussed for this morning, and you also see that the cost of goods sold are stable and that is driving near doubling of our gross operating profit for the first half of this year. We have low expense explorations on a year-to-date basis. There are no expense exploration wells that at the same time, the admin and the other costs remain fairly stable. I think the special items for the first and second quarter would be the impairment Block 8 that I have mentioned. And thereby, if you had that we have reduced our earnings for the first half of this year. And then operating profit basis it’s something $26.6, which is about even from last year. So, I think there is also some movement on the net financial expenses. As you see they are fairly stable from today basis, this is just compared to last year. But in the quarterly reported, we issue today, you will see that there are some increases both financially income and financial expense that we will report. But these are mostly than all non-cash income from discounting effects and also then the non-cash accretion expenses that relate to Kurdistan assets and liabilities. So the main underlying costs are not moving. So with this we show a net loss of $12.9 million for Q2 and year-to-date net income of $1.8 million after the impairment. Now as look at our investment program, we have recently introduced what we call an operational spend the slide and how you see the spending consisting all the CapEx, the exploration and the listing cost for the group. And as we guided previously this year, we will see a significant increase in the operational spend through 2017. We expect that the exploration -- expense exploration will remain fairly low and we see listing costs are stable. So the higher CapEx will be the main driver for this spending growth that we see coming through this year. And of course our year-to-date CapEx increased to $73 million from a very low level the same period a year before. The year-to-date CapEx was mainly split between Kurdistan with $31 million and Oman with $42 million. And we’ve touched on that already, but for Kurdistan the main investment year-to-date included drilling of new production wells at Tawke and also the Peshkabir-2 well that made the Cretaceous discovery and the Oman CapEx was mainly for drilling of the West Bukha-5B well in the Block 8. For the second half of this year and for the full year, we now expect to increase CapEx product. For the year, we now expect around $130 million of CapEx. That’s up from the previous guidance for this year of $100 million. So there is actually increased activity, increased drilling and increased CapEx. In the second half, again the main part of this program will be new both Cretaceous and Jeribe production wells and also facilities at the Tawke field. And the third well, they are drilling and the early production facilities that Peshkabir will be included here. And we also of course look forward to the results of the third well on Peshkabir and to the hopefully early production side. Otherwise step up activity at the Erbil license in Kurdistan to workover and drilling of a new appraisal and production well in the Benenan field in the Erbil license. And then the main activity at the moment is the book one well re-media work that we have discussed. Now, as the CFO as I was asked to pick one good slide that would describe our year-to-date financial progress. I think this would be that slide. This is because we have seen starting up in the year with the solid cash balance at $261 million to the start of the year is now add to that what we have achieved a strong year-to-date operational cash flow of $230 million and that’s up nearly six fold from the same period last year. And you take out the increase investments year-to-date as shown here as net $70 million and also protected essential share buyback program of $22 million and Q2 ending balance of cash is build up by $119 million. So, I hope you all appreciate this for the good progress. I know I certainly do. That’s also worth noting here is that the working capital changes that we have reduced the booked KRG receivable by another $32 million in the year-to-date figures. So, I think and all this is a good slide in my mind and I really like to see that they’re back to this full cash flow coverage and building up cash again. And then finally with the substantial cash increase that we have achieved, our interest bearing debt drops to $30 million to $19 million at the end Q2 and that means of course we’re nearly debt free on a net basis. So, again we have further strengthened our solid low leverage balance sheet through the first half of this year. And we now view our financial assets have increased through the share buyback program and also the share price increase. So, the estimated value now at the end of Q2 is $43 million. Our equity ratio has immediately dropped to P&L losses mainly from impairments, but also from now balance sheet recently. We expect now that the balance sheet and the equity ratio will be greatly strengthened through the positive effects of the receivable settlement that we have announced today. So, I think in summary through the financial results that we have presented now we’ve delivered very well close to what we had set as expectations for the year when we had our Q4 presentation in February. And more importantly in addition to that I think the structural changes that we have achieved now we’ll be able to combine much strength in cash flow going forward and even stronger capital structure following the announcement this morning of the receivables settlement through. So that gives us again a very good position to build on the asset portfolio and to add new value to DNO and our shareholders. So, I think I’ll close with that and we’ll then have a Q&A session from this table over here.
Q - Anders Holte: Anders Holte from Danske Bank. Just a quick question on the Tawke announcement from this morning. I see that Genel is now also announcing that they have a 4.5% royalty from the gross revenues of that license. Just in relation to the government royalty take that’s also from the Tawke production, has that been profited now for the five years? Or is that on top of the interest you have and also the top of the Genel share?
Bijan Mossavar-Rahmani: The government’s royalty, 10% royalty is unchanged. These are special five year overwrites that we are now here to the two companies as part of a larger settlement. Again, a reconciliation was done of the amounts that the parties agreed to our part receivable, each company did its own -- had its own discussions with the government, uses on basis of numbers. And as part of this arrangement, the receivable amount was offset by different arrangements. Our arrangement as we discussed included the assignment of the government’s 20% interest in Tawke to us. This is an important interest as you may recall Anders, this was carried by DNO. So, once we pick this up, there is no additional CapEx, lifting costs to G&A allocable to the 20%, this is about 20,000 barrels of operated production that comes to us at no cost and in certain respect. But in addition to that to get to our receivable settlement figure, we’ll receive this 3% and our site overwrite, this really works like a royalty overwrite payable monthly by the government to us. This figure is pretty close to the share of DNO of the 5% that was being towards receivables under the January 2016 payments arrangement, but that comes in the obligation to effectively pay $150 million for a water treatment and facility goes away the government in the satisfied that this will have an each with that fund, but that’s goes away. There are additional bonuses, production bonuses and other license fees something on the order I think of $25 million more or less that goes away. And the audit is deemed to have been done and that not a goes away. So our balance, we think this is a good service for us. It’s also good service for the government and I expect for Genel for its share of the Tawke field as well. If we had received cash some level, we would have been very hard press defined anything like 20% of Tawke to put that cash into and it’s not just now 20% of Tawke, it's 20% of Tawke and 20% of Peshkabir. And in a sense we’re betting on the performance of those two fields into the future, we’re betting in the certain respects on or prices. Although given our listing cost of Tawke which each year familiar and obviously are familiar follow-up is a very small number, we can withstands some very, very low prices. Probably some of the lowest prices with any company can be stand. But still there is an oil price Brent and there is a production Brent and on Peshkabir in particular a Brent again on the size and scale of Peshkabir field. So this thing, this settlement can be passed into a very large figure for DNO or not so large figure depending again on oil prices. But that’s nature of the business, that's the business we’re in. We’re going to the business for exposed and our investments are exposed to oil prices and to exploration development, production, success. But I can certainly say and this is a feeling of the Board and of the Company, our management and our teams that, if we have cash, we'll be lucky to find something like Tawke and Peshkabir to deploy the cash into some quite piece and quite excited. I mean, I'll be sure of my excitement because we’re up for about 4 o'clock this morning finalizing this agreement, which was signed few minutes before we came here. But behind this bit of a fatigue we have this for a number of sometimes in a complicated discussion, there is quite of an excitement.
Anders Holte: All right, very understandable. Just I realized that you’re playing the Peshkabir quite close to Chester but any indication on the potential size that we’re looking at?
Haakon Sandborg: Are you looking at me? It’s a bit early on this to come up with that number.
Bijan Mossavar-Rahmani: On this, we’re very pleased with the performance of the well, that’s been our production. In my own period, I never see anything like it. And herein the fact that this well has been on production and it produces steadily and it’s quite -- it’s indicative of stopping that could be significant. But we don’t know, we drilling as a third well which has been appraisal production well and as those results come in, we will have a better idea, and we will share that with the market. But we’ve been pleased that the time of rising oil prices and regular payment of other newly 5,000 barrels a day going into the pipeline and into the paid for us. And we’ve been quite I think clever and nimble to get that oil trucks on production and well on production trucks, so it's made a contribution. I think we’ve already produced close to 500,000 barrels cumulatively from that well, it helps. So, we’re quite excited about it and I particularly excited about the Peshkabir, but we’ll see this is the nature of the business. And we will find out and my hope is that this will be -- the Peshkabir will impress.
Anders Holte: Congratulations on your settlement. What will you use on your new strategic in financial flexibility to? Will there be more aggressive drilling in Peshkabir? Will you do more on the heavy oilfield drill [indiscernible] drill more in deeper reservoirs? Secondly, can you shade some light on what pull the breakthrough herein the striking points you already said that at year ago that you would prefer cash, but now you said that with the casher view it'd be how best to find the better asset on this?
Bijan Mossavar-Rahmani: I don’t know, if I address that prefer the cash, it has the cash amount of course but we were always of course aware that the Kurdistan government was in the cash mind. So we never expected that we would get cash at immediately at any level that would be meaningful to us. From the very beginning of when we started discussing this, we had asked for the greater interest in Tawke field. To the time that government wanted an opportunity to go in, do a detailed audit of our operational expenditures since inception, which they had a right to do and of course we co-operated in that. And we have said that any decision as to how to handle reconciliation would be subject to audit. We have made certain assumptions about the price of which the oil is being sold onward by the Kurdistan government based on public sources, but we were not preview to the exact numbers but we have said that the audit will be neutral. We’ve gone on the stand both for the revenue is coming in, and the both parties agree that we would take time for the government to understand, what our receivable numbers meant, what assumptions are based on where this assumptions are correct or not correct. And that once we had an agreement on a figure, we will find a way to settle. And there was always discussion from our side that we wanted more rather than less in Kurdistan in terms of growth opportunities that there will be some cash component to it, but perhaps some other room to play with obligations and liabilities on both directions. We have now the 20% that was for us surprise because that 20% of Tawke and Peshkabir together in our minds is a very useful add-on to our current exposure in Kurdistan. There is a cash component in a sense there is 2% override so we paid monthly is a sense of cash being invoiced and paid this cash. So there is that cash component that number will be overwhelmed by the -- our type of calculation the payment of our entitlement production at the 75% work interest level on Tawke and Peshkabir. I expect the Company will continue to be very cash flow rich. We already are we’ve shown in the first half of this year, this is how the business is suppose to work. The prices are strong, the production is strong this business generates a lot of cash. Of course it’s also takes in as well a lot of cash in exploration drilling and other activity as you’ve seen with our well in Oman, no one likes impairment but if a company, the oil company isn’t impairing they are not drilling, they are not doing their work. This is a risk business, we drilled some wells like quite costly those are successful generates significant cash, those that aren’t successful generate in resulted impairments. So, with more cash coming in now and our -- we haven’t done all the numbers we’re still working through how do we translate all this into balance sheet effects and what does the number looks like and how much additional 2P reserves we book, we will be booking additional 2P reserves on the back of the additional stake at Tawke and hopefully if the Peshkabir well comes in well within the end of the year we’ll have some perhaps some additional numbers two or three the Peshkabir reserves on our books. But, the amount of cash coming out is may be significantly increased effective August 1st, and we’ll start seeing this under the new payment rate that we’ve discussed we’ll be invoicing monthly based on the production sharing terms, again which will translate to a number roughly around what we’ve -- currently we’ve had over the last periods since January 2016. On top of that we’ll have the 3% payment, but I expect an uptick third up and I don't where would that number would look like eventually.
Haakon Sandborg: Investment data.
Bijan Mossavar-Rahmani: A lot quite well which would work through the numbers, you’ve worked through the numbers too I am sure, but there will be a significant uptick. We’ll be more cash rich, but I think we'll also opportunity rich in Kurdistan in particular but elsewhere as well. There are other options in Kurdistan, which we would like to examine and participate in that payment arrangements moving forward with involving in and monthly invoice based on the production sharing terms and payment with a 30 days of invoice. So, I expect we’ll be seeing strong cash flow and we want to deploy it. In the first half of this year, we haven’t been restrained by cash in terms of opportunities in Kurdistan. We’ve expanded our Kurdistan activities and there aren’t things we aren’t doing in Kurdistan because of cash. The additional spending Kurdistan will involve Peshkabir, but also involve other opportunities that we identify in Kurdistan that will be other cash that we can deploy in support of our activities and investments elsewhere. So, I will describe the DNO moving forward as a cash rich, but also opportunity rich and our challenge always is to get more of both of those.
Bijan Mossavar-Rahmani: Another question dividend, will that the evaluated?
Haakon Sandborg: Upon the less point, I don’t really say that we have been focused on growth and reinvesting our cash going to the business. I think that’s going to be the main focus also going forward. We have lots of working to look at and develop and add to the portfolio, everyone engaging. We’re building up presence in Norway. So we have lots of good investment opportunities that at least in my mind we will focus on first, when things stabilized and we build bigger presence in the future. Yes, I mean that’s something we can look at the moment, we haven’t been discussed it today and I don’t think it’s on the discussion board and in the board room and discussion at the moment in DNO, but we will see how things now develop and that we will be in totally different situation we expect now.
Anders Holte: Just one comment that I have been media reports on the Iran ventures Bijan you can add on that on anytime timeline or anything on potential contracts?
Bijan Mossavar-Rahmani: I can’t answer that as all I see our media reports as well. I can’t comment on that. But I expect the Company, my colleagues when they have something to say all that beyond what’s in the media, they will do so.
Bijan Mossavar-Rahmani: People thank you very much. We look forward to our next session together which I guess will be earlier next year, the full year February the full year results, but in the meantime, we will of course communicate with the market through periodic releases and announcements. Thank you for joining us.